Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Rocky Brands Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided for your at that time. [Operator Instructions] I would like to remind everyone that this conference call is being recorded. I will now turn the conference over to your host, Brendon Frey of ICR. Thank you. You may begin.
Brendon Frey: Thanks, Rob, and thanks to everyone joining us today. Before we begin, please note that today's session, including the Q&A period, may contain forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Such statements are based on information and assumptions available at this time and are subject to changes, risks and uncertainties, which may cause actual results to differ materially. We assume no obligation to update such statements. For a complete discussion of the risks and uncertainties, please refer to today's press release and our reports filed with the Securities and Exchange Commission, including our 10-K for the year ended December 31, 2023. I'll now turn the conference to Jason Brooks, Chief Executive Officer of Rocky Brands. Jason?
Jason Brooks: Thank you, Brendon. With me on today's call is Tom Robertson, our Chief Operating and Chief Financial Officer. After our prepared remarks, we will be happy to take questions. The fourth quarter marked a solid conclusion to 2024, a year in which we navigated microeconomic headwinds, lap business model changes and non-recurring sales from 2023 that made our year-over-year comparisons more difficult. Looking at our results on an apples-to-apples basis, the performance of our core business was encouraging, especially in the fourth quarter, while sales trends accelerating as the holiday season progressed, led by demand for our Durango and XTRATUF brands. Demand was particularly strong in our direct-to-consumer channel, which fueled the highest ever sales volume quarter for our retail segment. At the same time, reoccurring wholesale sales returned to a growth in Q4, increasing mid-single digits for the quarter, helping to drive our recent top line performance with additional investments in demand creation. We underinvested in marketing in the year ago period and made the decision to bring spending back in line with historical levels this fourth quarter. We are pleased with the momentum that's generated, and we plan to make further incremental investments going forward to increase brand awareness and drive traffic to our sites and our wholesale partner doors. Before I hand over to Tom for a more detailed look at the financials, I'll take a few moments to walk through our brand and channel performance. Much like last quarter, our Durango and XTRATUF brands were the standouts in our portfolio that helped deliver better than anticipated top line results in Q4. Durango built upon its recent momentum, driven by strong sell-through across key accounts and farm and ranch partners and an uptick in at-once business. Our recent work to clear overstock and discontinued styles allowed us to better position our inventory to meet the strongest pockets of demand, serve new niches and accelerate turn rates. In the near term, we are excited about the launch of new on-trend products as well as expanding the brand into new categories, providing potential catalyst for upside with Durango. XTRATUF delivered another exceptional quarter, finishing with strong double-digit gains, growth was strong in both the wholesale and e-comm channels driven by better-than-expected holiday performance and strong consumer reception to both our core product and new fall 24 styles. Of particular note, this summer's new tailgate collection of ankle deck boots in sports-inspired colorways along with our new Kids TUF's (ph) collection continue to be successful and drive incremental growth for the brand. These new products are opening up a whole new customer set with women's and kids offerings now making up approximately 40% of the brand's sales collectively. Overall, XTRATUF performed very well in 2024, surpassing expectations and ending the year with a strong momentum. Our focus remains on the launches of our highly anticipated 2025 summer, fall and holiday lines, keeping our customers' shelves well stock and the XTRATUF brand top of mind for our consumers. Our other rubber-based brand, Muck, delivered solid overall performance in the fourth quarter, driven largely by cold wet weather across much of the U.S., particularly late in the quarter. In fact, December was the best month for the brand in some time. While some factory delays and capacity issues were headwinds in the period, this dynamic allowed us to work through closeout items and position the brand for continued success into the new year. Our new digital advertising efforts continue to drive incremental demand helping delivery a successful holiday for the brand's new fall 2024 styles. Looking ahead, we increased our digital campaign spend in December and pivoted focus to our Arctic cold weather products, and are optimistic that we can continue December's momentum into the first quarter. Georgia Boot delivered a slight increase in Q4 compared to a year ago period, a combination of better boot weather and postelection clarity drove a strong November and December for the brand. Throughout the quarter, we saw solid demand across our account base and also had success adding new accounts in the period. Throughout 2024, the Georgia team has focused on finding and delivering the value sweet spot for our work-based product. This strategy is now beginning to deliver results with new products being adopted by a number of our large retail partners in the fourth quarter without cannibalizing existing SKUs. Looking ahead, we remain cautiously optimistic that we can continue to build Georgia from here with our new product approach. Turning to Rocky. We saw pockets of strength across the Work, Western and Outdoor segments in our DTC channel. However, the promotional holiday period and continued inventory challenge for key retail partners weighed on overall fourth quarter results. Our work segment was the best performing during the period with modest declines compared to a year ago. We continue to adjust to work product mix and value propositions to better match consumer needs while offering unique product that will set us apart from other work competitors. While the work team had a challenging quarter in wholesale, we were pleased with the level of work demand on our own DTC site, demonstrating that our new product continues to resonate with consumers. In Rocky Western, similar efforts to reposition with new value-driven product at more competitive price points are gaining traction. However, the elevated level of holiday promotions in the marketplace during the fourth quarter pressured demand and slowed our progress. We continue to believe our revamped strategy and product is resonating with our customers as we saw steady DTC volumes during the period, along with solid drop-ship sales through specialty Western distributors that provided confidence in our more value-focused strategy moving forward. With respect to Rocky Outdoor, another poor season for hunting and outdoor weather in the critical narrow sales window weighed on fourth quarter sales. As we shared, back-to-back years of more mild weather has led to an over inventory of hunting footwear and apparel with many of our key retail partners. While better boot weather later in the quarter did help offset some of the early weaknesses, the short seasonal window primarily October through early November, for much of the hunting specialty product made it challenging to make up ground. Looking ahead, we are optimistic that our non-hunting footwear led by rugged casual styles will continue to provide a degree of mitigation as the more hunting focused inventory works its way through our retail partners. Lastly, in our commercial military and duty segments was down in line with our expectations. We are still facing a sizable military blanket purchase agreement, the elevated 2023 sales on a comparison basis. Additionally, in Q4, we saw hesitancy to spend allocated monies due to anticipated administrative change. We did see some offsets to these headwinds, primarily from the continuing strength of our fire category. Looking ahead to 2025, we anticipate being able to return the segment to a positive comparison with 2023's elevated sales behind us. Shifting to Retail. Our branded e-commerce sites and marketplace business continued their recent positive momentum in the fourth quarter. Across our digital platforms, we successfully navigated and consent the holiday shopping season through targeted promotional strategies and enhance consumer engagement initiatives. Notable areas of strength included XTRATUF and Durango, which both delivered their best month ever in December. Strong double-digit gains in Rocky and solid increases for Muck and Georgia online. Shifting to our B2B Lehigh business. Sales were up double-digits compared to a year ago period, marking two consecutive quarters of double-digit growth. We created recent success to our work in the first half of the year to significantly realigning our sales organization to improve our sales pipeline and provide greater continuation in account setup, rollout and implementation. These positive results continue to accelerate with new account openings jumping meaningfully for Q3 and Q4. Along with these sizable gains, customer spending continues to be strong, which inspires confidence that Lehigh will be able to continue its momentum into the new year. We feel good about the overall health of our business as 2025 gets underway. Like any portfolio, we expect varying degrees of performance among our brands and channels. But collectively, we are expecting another year of solid growth. Our optimism is being somewhat tempered by continued uncertainty around the consumers as recent purchasing behaviors has been more unpredictable which is causing many retailers to be cautious with their inventory commitments in general. However, based on the sell-through of our brands over the past several months, both in stores and online, we believe we are in a position well versus the competition to continue gaining share in our categories. In closing, I want to thank the entire Rocky Brands team for their hard work this past year and their commitment to delivering great product and great experience for our consumers. I also want to thank our loyal consumers, retail customers, suppliers and shareholders for our ongoing support of our brands and company. I will now turn the call over to Tom. Tom?
Tom Robertson: Thanks, Jason. As Jason shared, we had a good fourth quarter, highlighted by strong gains in our retail segment and a nice improvement in our wholesale segment when comparing results on a recurring basis. This brought full year sales towards the midpoint of our guidance range and profitability in line with our expectations as meaningful gross margin expansion helped to offset higher expenses associated with planned increases in marketing, incentive compensation and fulfillment costs associated with the increase in direct-to-consumer sales. For the fourth quarter, sales increased 1.7% year-over-year to $128.1 million, or 8.8% when you exclude certain non-recurring sales in the fourth quarter of 2023, related to the change in the distributor model in Canada and temporarily elevated commercial military footwear sales to a single customer. By segment, wholesale sales were $81.3 million, a decrease of 5.2%, but up 4.5% on a recurring basis. Retail sales increased 15.3% or 16.3% on a recurring basis to $43.6 million, the segment's highest ever quarterly sales figure, and contract manufacturing sales increased 39.1% to $3.2 million. Turning to gross profit. For the fourth quarter, gross profit was $53.2 million or 41.5% of net sales compared to $50.7 million or 40.3% of net sales in the same period last year. The 120 basis point increase in gross margin as a percentage of net sales was attributable to an increase in the wholesale gross margin as well as higher mix of retail segment sales, which carry higher gross margins than the Wholesale and Contract Manufacturing segments. Gross margins by segment were as follows: Wholesale, up 310 basis points to 38.5%; Retail gross margins were down 370 basis points to 49.2%, and Contract Manufacturing was up 110 basis points to 14.8%. Operating expenses were $44.7 million or 34.9% of net sales in the fourth quarter of 2024 compared to $36 million or 28.6% of net sales last year. During the fourth quarter, we completed our annual impairment testing of goodwill and other intangible assets. And as a result, we recorded a $4 million non-cash trademark impairment charge related to the Muck brand. Excluding this charge and acquisition-related amortization, adjusted operating expenses were $40 million in the fourth quarter of 2024 versus $35.2 million in the fourth quarter of 2023. As Jason said in his remarks, we underinvested in our brands during the year ago quarter, and we purposely increased investments this year more in line with historic levels. We also incurred higher logistics costs this year associated with the 50% increase in retail segment sales and higher incentive compensation based on our performance. Compared to two years ago, adjusted operating expenses as a percentage of net sales were 31.2% this year versus 29.8% in the fourth quarter of 2022. Income from operations was $8.5 million or 6.6% of net sales compared to $14.7 million or 11.7% of net sales in the year ago period. Adjusted operating income was $13.2 million or 10.3% of net sales compared to adjusted operating income of $15.5 million or 12.3% of net sales a year ago. For the fourth quarter of 2024, interest expense was $3 million compared with $5.3 million in the year ago period. The decrease reflects lower debt levels and lower interest rates in the quarter compared to the fourth quarter of 2023. On a GAAP basis, we reported net income of $4.8 million or $0.64 per diluted share compared to net income of $6.7 million or $0.91 per diluted share in the fourth quarter of 2023. Adjusted net income for the fourth quarter of 2024 was $8.9 million or $1.19 per diluted share compared to adjusted net income of $7.3 million or $0.98 per diluted share in the year ago period. For the full year, net sales were down 1.7% on a reported basis, but up 5.3% on a recurring basis to $453.8 million. By segment, Recurring Wholesale sales increased 0.7%, Recurring Retail sales up 10.2% and Contract Manufacturing increased 202.2%. In terms of profitability, gross margins increased 70 basis points to 39.4%. Adjusted operating income was $37.8 million or 8.3% of net sales. Adjusted net income was $19 million, up from $14.3 million in 2023 and adjusted EPS increased to $2.54 from the $1.93 in the prior year. For the full year, interest expense was $17 million, inclusive of a $2.6 million onetime loan extinguishment charge compared with $21.2 million in 2023. Excluding this one-time charge, interest expense decreased 32.1% year-over-year. Our effective tax rate for 2024 was 19% compared to 26.3% in the prior year. Driven primarily by a return to provision adjustments resulting from foreign tax credits recognized in the fourth quarter of 2023, we expect our tax rate for 2025 to normalize around 22% to 23%. Turning to our balance sheet. At the end of 2024, cash and cash equivalents stood at $3.7 million and our debt, net of unamortized debt issuance costs totaled $128.7 million. We've made excellent progress paying down our debt over the last 12 months with total indebtedness down 25.7% compared to the end of last year. We also returned $4.6 million directly to shareholders through quarterly dividends in 2024. Finally, as we announced in our earnings release today, the Board has approved a new share repurchase program of up to $7.5 million of the company's outstanding common stock. This program replaces the previous repurchase program that expired in March of 2022. Now to our outlook. To reiterate what Jason said, we feel good about the health of our business, but are aware that consumer -- the consumer uncertainty continues to generate an elevated level of caution among our retail partners. Good news relative to a year ago is that the channel inventories are much cleaner. So good sell-through should translate into improved replenishment orders. In terms of costs, we are facing pressure from the 10% increase in tariffs on products sourced from China recently enacted by the new administration. In 2024, approximately 50% of our footwear was manufactured in China, either at our own facility in Suzhou or by third-party suppliers. We are working to reduce our third-party exposure and anticipate total goods coming from China to be below 35% by the end of 2025, but plan to maintain manufacturing presence in China as our cost to produce products remains competitive even with the increase in tariffs. For the year, we expect revenue to increase in the low single-digit range over 2024 revenue of $453.8 million. This expectation is based on anticipation of another year of strong gains from our retail segment along with steady growth in wholesale, partially offset by roughly $4 million less in contract manufacturing sales. We are forecasting gross margins to be down modestly from the 39.4% we reported in 2024. This includes roughly 110 basis point headwind from higher tariffs, which, without gross margins would be up year-over-year. SG&A is expected to be up in dollars as an increase in our marketing spend to support growth and realize -- and realized higher logistics costs from the projected increase in retail sales. However, as a percentage of revenue, expenses will be similar to last year. Interest expense will take another step down this year based on our year-end debt levels and current interest rates, helping to nearly offset the 110 basis point impact on operating margins from higher tariffs. This puts 2025 EPS just below 2024's adjusted EPS of $2.54, but up approximately 20%, excluding the impact from higher tariffs. That concludes our prepared remarks. Operator, we are now ready for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Jonathan Komp with Baird. Please proceed with your question
Jonathan Komp: Yes. Hi. Good afternoon. Thank you. Can I just follow up the commentary around more mixed recent indicators. Could you just clarify a little further what you're seeing? It sounds like your sell-throughs may be holding up better. So just curious, some of the observations you have there?
Tom Robertson: Yes. Jon, I'll start and Jason certainly will chime in here. I think obviously, with the weather that we saw later in the fourth quarter and at the beginning of this year, we've seen good sell-through from the retailers, but we recognize that they are being cautious as they go forward. And so we're being cautious as we give guidance for the rest of the year. Jason, I don't know if you've got any more clarity there.
Jason Brooks: Yeah. I think it just -- as the weather came into January and then still continue through February, I think the retailers said, hey, eventually, it's going to stop. And so that you've been working through the inventory they had and coming to us when they need to, but -- it's been a little bit different pace.
Jonathan Komp: Okay. And then if you look forward to our low single-digit growth for revenue for the year, can you talk about some of the factors that are giving you confidence? And any shaping as we think about Q1 relative to the full year target?
Tom Robertson: Yeah. I think as we look at our order book and our bookings to rest of the year, we're up year-over-year, so that makes us feel good. I think that we're just hearing a lot of cautious behavior from the retailers and maybe at once ordering. And so we're probably being a hair conservative there. As we look to the quarters and the cadence for the year, Q1 -- we've been talking about this in the last couple of earnings calls, we've been chasing a little bit of inventory for XTRATUF and Muck, particularly and so we're continuing to chase here through Q1. And so we're anticipating a little bit of a late delivery of some spring product as we were trying to replenish active styles. And so we're going to see a little bit of a shift from Q1 into Q2 a little bit. And so for all type of purposes, we see Q1 sales flattish with last year. And really the increase in sales that we called out the low single digits really happening in Q2 and more so in Q3 as inventory is back in stock and just given where we can see our bookings sitting today.
Jonathan Komp: Okay. Great. And then a follow-up on the tariff impact. I think you called out 110 basis points. Is that -- can you just clarify that the gross impact or is that a net of any offsets? And is that just the current tariffs expected as of today? Any more color there? And then how should we think about any decisions around pricing or other actions that you could take?
Jason Brooks: Yeah. I'll start here, Jon. So it's definitely only considering the existing tariffs that have been put in place and we are evaluating all options to try to cover those, right? So we are evaluating some price increases. We've seen some of our competitors already do that in the marketplace. We are also going to our vendor partners and talking about different options and ways they can support and help and then raw materials are obviously another way. So I think we have a really good plan in place there. And we think we'll be able to ultimately find a good positive there, but it's going to take us probably into -- it's definitely going to take us into 2026. So that's why we think the impact is really going to be more in Q3 and Q4, maybe a little in Q2, but we've got pretty good inventory and we feel pretty good about that right now.
Tom Robertson: Yeah. I think, Jon, just to add on there. I think as you look at margins throughout the year, Jason touched on it, right, the 110 basis points, it's an implied $5 million-ish of tariffs. Some of that's already been mitigated. That number was north of that a couple of months ago when we were anticipating the tariffs were coming. And so we've mitigated some of that, to Jason's point, we're going to continue to mitigate that. And so that's just kind of where we view the world today. Obviously, a lot of uncertainty, again, to Jason's point about any new tariffs or incremental tariffs or reciprocal tariffs and other areas. So we're going to continue to mitigate that. We have planned. We've seen a couple of peers of ours adjust on pricing, nothing dramatic, but we've seen that. And so we're monitoring that as well. And I think big picture, I think we're in a really good position comparatively. The fact that we have our own and operated manufacturing facilities allows us to be a little bit more nimble potentially than some of our peers. And so we're going to continue to do that. We're continuing to push our partners in Asia to either expedite their plans to get into other -- to other countries in Asia or even to push more capacity in countries like Vietnam, Cambodia and partners of ours in the Dominican Republic. So we're going to continue to mitigate that but the 110 basis points is kind of how we see it today. I did want to call maybe one other thing that -- from earlier, a slight increase in maybe wholesale margins in the first quarter of this year because we still have -- and this will be the end of that onetime contract that we had with that one elevated non-recurring sales that we talked about all year, Q1 of 2024 was the last quarter that we shipped on that contract. So there is $2 million, $3 million of recurring sales that we're not going to – non-recurring sales, I'm sorry, that we're not going to have this year. But there should be a slight improvement on our wholesale margins because of that. So I just wanted to call that out for the why we think Q1 will be more flat to LY (ph).
Jonathan Komp: Okay. Great. Maybe last one for me. Just as you think about the key growth drivers in 2025, I know you've highlighted some of the strength for XTRATUF parts of the Muck business, women's, Western for Durango in recent quarters. Can you just maybe rank order discussed some of the biggest contributors as you look forward to the key drivers in 2025? Thanks, again.
Jason Brooks: Yes. Sorry. Thanks, Jon, and sure Tom will add some, but you hit on them, right? XTRATUF is definitely one of our strongest growing brands right now. And as Tom had indicated, like we are chasing it, we are still chasing it. And some of that product for spring is moving into Q2, but we're going to continue to chase it. And you even touched a little bit on the women's, in kids or I touched on it, too. We're seeing some nice growth there and that's exciting to get out of our men's footwear business because that's the majority of what we have. The Muck brand is also seeing some nice bookings for fall. We've got some new product out there that's doing really well, particularly in the Camouflage hunting market, which is kind of an odd thing because I know we talked about how that's hindering Rocky. But in the rubber boot business, it seems to be a little bit better. Durango continues to be a strong brand and -- as we all know, our partners at Boot Barn are doing well. So we'll continue to see some things going there. And then some of the places we're seeing some different success and it's small for us, but it's exciting is a little more what I call is just casual type footwear. Rocky is seeing a little bit of it. Rocky introduced a 6-inch casual kind of work boot with a BOA system on it, that seems to be checking pretty well retail. George has got a few little things happening. We've been expanding into some other retailers with Georgia. So nothing huge in those two areas, but I think those are some places that we're pretty excited about and have seen some new bookings for fall, which I think is great.
Tom Robertson: Yeah. I think just to add on, Jon, I think echo Jason's comments, but also as we look to the retail segment, the strength of Lehigh over the last few quarters has been phenomenal. And it's been really exciting to see this shift in we reorganized the sales team and how this seems to be clicking and checking with our consumers and they continue to see success. So we're optimistic for them in 2025. But then also, we've kind of reinvigorated our marketplace team. And so we've been using our marketplace team to really unload discontinued or slow-moving product at a reasonable margin. It's a little bit of why you saw the margins tweak down a little bit in that retail segment as we're selling more discontinued product there. Ultimately, it's a more profitable way of selling that product. And so we're going to continue, hopefully, to see that be successful throughout 2025. But I think -- the one thing out here, and it's something that we're going to be able to take advantage of in 2025 that we really couldn't in 2024 or 2023 is really we're being more aggressive when it comes to an inventory perspective, particularly for the XTRATUF and the Muck brands. And so we recognize that with Muck, you have to have the inventory when the weather shows up, very long lead times on our rubber product. So we're going to be investing in inventory for Muck. But also we're trying to get ahead of bookings and demand for XTRATUF. And so with where our balance sheet is today, that's going to allow us to be more aggressive there. So if the demand is there, we'll able to capitalize on it more so than we did in 2024. And then the other call out there just for a modeling perspective, is if we looked at the seasonality of our business, historically, that inventory grows in the second and third quarters to be sold off in the third and fourth. We anticipate that happening again, and we will see meaningful inventory growth in the middle of the year, where if we look at the last couple of years because we've been bringing inventory down from a high of $290 million to the $167 million that we had at the end of this year. It's kind of muted that seasonality of our inventory. So from a modern perspective, you will see that ebb and flow a little bit more this year than we had in the last few years.
Jonathan Komp: Really helpful color. Thanks, again.
Tom Robertson: Thanks, Jon.
Operator: [Operator Instructions] Our next question comes from Ethan Saghi with BTIG. Please proceed with your question.
Ethan Saghi: Hey. Thanks for taking my questions. Could you just give us an update on your -- can you give us an update on your sourcing exposure to Mexico? And given the potential for 25% tariffs on the country, I think, set to begin next week. Just how you're navigating that situation? And if those DUC do come to fruition, how that would impact your guide?
Tom Robertson: Yeah. So we do source a very, very small proportion of our inventory from Mexico, less than a few percent, to be quite frank. And it's really on more of our exotic Western footwear product. And so while it would negatively impact us, I think it would potentially disrupt the other Western boot market a little bit more so, meaning that our peers may be detrimented worse by a tariff there. And so we've definitely evaluated it. We're looking to potentially resource some of that exotic Western ware in other countries, but it won't be that meaningful to our business.
Ethan Saghi: Got it. That's good to hear. And then just nice to kind of hear some of the momentum has carried into the beginning of 2025 so far. I was just wondering if you could give a little more color on what you're seeing quarter-to-date across brands and categories? Thanks.
Tom Robertson: Yeah. I think we've continued to see a little bit of -- just a continuation of what we saw in the fourth quarter. So our Muck brand has continued to be strong in the first quarter. Certainly, the weather has helped that. XTRATUF has continued to be strong. Our e-commerce business has continued to be strong as well. And so as we look to the first quarter, we feel pretty positive about it, but we're just cautioning our guidance in the first quarter as we know that we've got a few million dollars of non-recurring sales from that one contract that we've been talking about, but then also that shift of us of getting spring product that's going to ultimately ship in the second quarter. So we're just being a little cautious with our guidance there. But we've been happy and pleased with the start of the year.
Jason Brooks: Yeah. And I would just add, the sell-through, we're really good. We're comfortable with our sell-through retailers. But the retailers are just being a little more cautious, and they are buying back in, but not at the levels I would have anticipated. So again, I think, as Tom indicated, we're just -- we're still comfortable here, but Q1, we're being cautious.
Ethan Saghi: Got it. That make sense. Appreciate the color. Thanks.
Jason Brooks: Yeah. Absolutely. Thank you.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Jason Brooks for closing comments.
Jason Brooks: Thank you, Rob, appreciate it. Once again, I would just like to thank the entire Rocky team for the efforts they put in, in 2024. We navigated an interesting year and ended up pulling off what I would once again say was a nice 2024. I'd also like to thank our customers, consumers, shareholders and also our Board members for their support, and we look forward to a great 2025 and the future. Thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.